Ann-Sofi Jönsson : Very welcome to the presentation of our second quarter results today. I'm Ann-Sofi Jönsson, Head of Investor Relations. And with me today, I have our CEO, Yannick Fierling; and our CFO, Therese Friberg. We will run through the presentation, and then we will open up for a Q&A session. [Operator Instructions] So with that, very welcome again, and over to you, Yannick.
Yannick Fierling: Thank you very much, Ann-Sofi. Good morning to all of you. I'm very happy to be with you for the second quarter results. I will start with a few highlights. The first positive news we have to share with you is that we have been outperforming the markets with our 3 major brands: Electrolux, AG and Frigidaire. The second point is about our operating margin. We have been improving our operating margin from 1.2% to 2.5%. We've a highlight, which is a positive operating margin in North America. And we have been delivering these results in an environment, which has been pretty challenging with a very volatile geopolitical environment. So good progress on the short-term side of the equation, but we have been making as well pretty good progress together with the team on the ambitions we want to develop mid and long term. Let me deep dive into the numbers. First, we are reporting an organic growth of 1.8%, mainly driven by North America and Latin America and partly offset by a slight decline in Europe, Asia Pacific, Middle East and Africa here. The price was overall positive, mainly driven by price increases in the North American market and in LatAm with a slight negative development in Europe, Asia Pacific, Middle East and Africa, again, I mean the market in Europe, as you will hear it in a second, was especially depressed and difficult. From an operating margin perspective here, again, positive margin in North America for quite some quarters. We're also glad to report that we're making good progress in our cost-efficient objective by delivering an additional SEK 0.6 billion year-over-year. The organic sales contribution was mainly due to North America and LatAm once again. We have been increasing prices in North America to compensate for tariff impact exactly as we have been announcing it in the first quarter. We had some headwinds. We had some headwinds in terms of currencies in Brazil, some headwinds in terms of currencies in Argentina with pesos. But again, we have been compensating these headwinds by price increases. I also want to report the sale of our trade brand Kelvinator in India for an amount of SEK 180 million. With that, let me deep dive into Europe, Asia Pacific, Middle East and Africa. So we had a slight organic sales decrease. I mean, on the other hand, the good news on the good side of the equation, the Electrolux and the AEG brand have been outperforming the European market. The market was extremely depressed. I mean, lower than in 2024 here. The market was predominantly replacement-driven with a high level of promotion. So big pressure on the prices. We're also making good progress in phasing out the Zanussi brand, which again, was an entry price brand in the past. So positive earnings across positive contribution from cost savings in the region, pretty strong here. We had negative price development. The market was extremely competitive here. We have been drawn-down in terms of prices by competition. However, we kept the marketing investment level at a pretty strong level because we want to make sure that we will be passing the right message in terms of products. And just before we have been opening this call, you could see one of the main campaign we are launching. And again, I just want to repeat the fact that we have been divesting from trade brand, Kelvinator for an amount of SEK 180 million. Once again, we're used to show this slide here. We have been -- the market has been declining by 1% across Europe. I mean it has been flat in Eastern Europe, and it has been declining by 1%, a little bit more than 1% in Western Europe. So I mean, absolutely no improvement versus 2024, which was already a very depressed market. We are 11% lower than 2019 in terms of volume in the second quarter here. So once again, 11% lower than 2019 takes it back to 2014 in terms of volume. I've been repeating that the European market is used to an organic growth of 2% to 3%. If you look at the 10 or 11 years between 2014 and 2025, we are missing about 20% to 30% of the volume we have been forecasting pre-COVID. So very depressed markets still in Europe, subdued market. We did not see any movement in terms of kitchen and new constructions, which is, again, one of the stronghold we do have as Electrolux. Despite all of that, we kept our path. We kept on investing on the marketing side of the equation. We have been launching successfully the product, which is a tough -- a new induction hob, which is anti-scratch, anti-fingerprint, very successful launch in the market, which is completing basically the kitchen launches we have been announcing in Germany and in Europe. We're also very proud to say that we have been awarded 16 awards in terms of design. Design remains a very strong trait for Electrolux. It is a trait we want to differentiate ourselves from competition moving forward. I'm also very glad to underline that many of these awards went to vacuum cleaner. Vacuum cleaner, a product we have been inventing as Electrolux, and it is a product certainly we will be revamping moving forward in the coming months and in the coming years. So a very big success and achievement from the design side of the equation. Moving into North America. I mean North America definitely has been outperforming the market. I mean the market is down 1%. The organic growth we had in North America is at the level of 4.1%. It is, again, testifying about the good reception we're having from the new products we're launching out of the Springfield and the [ sun ] factory. So very good momentum from a product launch we do have in North America. We have a positive price movements. We have been announcing price increase at the beginning of first quarter. We have been executing this price increase. We were not followed by all our competitors. But I mean, this strategy paid back. And that's explaining why we are able to basically report out a positive EBIT for the second quarter. Good progress as well in terms of efficiency. We are glad to say that, I mean, we have been achieving our target in terms of cost savings and efficiencies in our factory here. Price list have been increased, and we will be keeping on increasing this price list as long as we'll be impacted by tariffs. So our ambition is truly to fully compensate tariff impact through price increases. We had some negative impact from the currency, which were compensated by a positive impact on the raw material side of the equation. Just looking at the market evolution here once again, minus 1%. It is -- the picture is very different from Europe because, I mean, North America was hit by a high level of inflation due to the trade war here. And the North American market has been pretty resilient in the first quarter 2025 and in the second quarter here with only a decrease of 1%. I'm very happy to announce today a major launch of an innovation we have been actually putting on the market last Monday. It is pizza. I mean, a few years ago, North America has been launching air-fried extremely successful here. And here, we're announcing probably innovation, which is at the same level. But rather than a lot of words, let me show you a short video. [Presentation]
Yannick Fierling: You need to taste it to believe it and I had the opportunity to taste it several times. It is really like in a restaurant. And that's thanks to a unique technology, which is allowing part of the oven to reach a 400-degree Celsius in a short amount of time. You're able to cook your pizza only in a couple of minutes. Amazing reception from the North American market, we are available by one of our main retailer in North America since last Monday. We will be present on more than 4,000 shop floors for North America -- in North America and Canada here. So a major launch again in North America moving forward, and we have quite a lot of expectations out of this feature. Moving to Latin America. I mean, let's not forget when you're looking at these numbers that Latin America had an exceptional 2024 year with a heat wave here, a significant level of growth. We were hit, end of 2024, by currency depreciation. We have been increasing our prices right with beginning of 2025 here, and that's explaining why we're able to deliver the numbers you see on this page. Interest rates have been increasing pretty significantly in the second quarter, which has been forcing some of our retailers to reduce the level of stock they had on the market. That's one of the major event and changes in the second quarter for Latin America. But still very good results above the 6% in terms of margin. Moving to cost reduction and cost efficiency. We're glad to announce that we have been reaching a cost efficiency of SEK 0.6 billion in the second quarter, which is taking us to SEK 2 billion for the first half of the year. And again, I mean, the recipe is the same as the one I have been describing in -- during the last reviews. And we're accelerating in terms of product cost takeout. We are sourcing in a better manner from best cost countries. We're designing the product in a much better manner. We are driving for efficiencies in our factories. We're taking our costs down in logistics and quality. So good momentum here, and we're still very much committed to deliver the SEK 3.5 billion to SEK 4 billion by year-end in terms of cost efficiency. We're very proud of that. We're absolutely the leader in terms of sustainability for home appliance makers across the world. And we are getting a lot of recognition, significant recognitions. We have been recognized 3 times by the Financial Times in '23, '24 and 2025. We just got awarded as well by Newsweek, and we got the gold medal in EcoVadis this year, which is taking us among the 5% most sustainable company in the world out of 70,000 companies. Lots of recognition, big ambitions, big investments, but that's what we are or who we are as a company. With that, I'm passing it to Therese.
Therese Friberg: Yes, Yannick. If we then move into the next slide, we had an organic growth in the quarter, which also generated a positive contribution to earnings. And this was mainly driven by price. And as Yannick mentioned, we increased price in the beginning of the quarter in North America to offset the tariff headwinds. And in the beginning of the year, we have increased prices in Latin America to offset currency headwinds. So these were both positive to earnings. As also mentioned earlier, we had a negative price in Europe, Asia Pacific, Middle East and Africa. And this has really contributed to quite tough market conditions in Europe, where the market volume is still very much replacement driven and therefore, a large part of the sales volume is sold under promotions. If we move to innovation and marketing, this was a slight decline in marketing spend year-over-year, but this is really a timing impact between quarter 1 and quarter 2 since if we look at the first half year, we are increasing marketing to support our strong brands and product portfolio. With cost efficiency, we are on track and delivering SEK 600 million in the quarter and then are at SEK 2 billion for the first half. External factors is negative where the main impacts are the negative from tariffs in North America as well as currency in Latin America. And on top of that, we are seeing some inflation on labor cost across the different regions. Acquisition and divestments, this is where you will find the SEK 180 million gain that we made from the sale of the Kelvinator trade brand in India in the quarter. And if we then take a look at the cash flow -- so if we move, we had a negative operating cash flow after investments of SEK 741 million in the quarter. And this was despite that we had positive earnings year-over-year as well as slightly lower investments year-over-year. So the negative impact is really coming from change in operating assets and liabilities, where we had 2 impacts that were impacting the quarter that are a little bit extraordinary, which is, one is the SEK 500 million approximately fine that we have paid related to the antitrust case in France that we have previously communicated. And we also had a negative impact from tariffs in North America. Related to that we are paying the tariffs much earlier than what we are able to recover them through collection throughout the value chain. Underlying inventory is also increasing in the quarter. This is partly related to seasonal buildup, but also partly related to that the markets in the second quarter was below what we believe them would be at the beginning of the year and also very volatile market conditions. So this has also led to that operating working capital in relation to net sales is now at 6.1% compared to 5.1% 1 year ago. And if we then look at our liquidity and maturity profile, we have a strong liquidity of SEK 28 billion, including RCFs at the end of June. And we -- including the prefinancing of the loan with EIB of EUR 200 million at the end of 2024, we have pretty much refinanced all of the maturities in 2025. And during the quarter, we have also extended one of our RCFs of SEK 3 billion up until 2027. We have a well-balanced maturity profile and no financial covenants, as you know. And the net debt-to-EBITDA is now at 3.5x compared to 3.4x by the end of 2024 despite a weak start to the year in terms of cash flow. And for sure, we have a target to remain solid in terms of our investment-grade rating. And with that, over to you, Yannick.
Yannick Fierling: Thank you very much, Therese. Let me take you through the outlook and summary. In the second quarter, demand for home appliances in Europe continued to be predominantly replacement-driven with high promotional intensity. Following increased economic uncertainty, the market declined slightly and the competitive pressure remained high. As we have stated earlier, the increased market uncertainty risk delaying a recovery of discretionary purchases in the important built-in kitchen segment. Housing construction and kitchen remodeling remained subdued and the kitchen market in Europe was weak but stable at a low level. In a longer perspective, it is important to remember that the European market is on a 10-year low. For full year 2025, we reiterate our neutral market outlook for core appliances in Europe. The increased economic uncertainty in North America weighted on consumer confidence and the market declined slightly in the quarter with consumers continuing to shift to lower price points. List prices increased in the market to compensate for tariff-related cost inflation at the same time as underlying promotional pressure remained high. The demand outlook for the full year remains uncertain as the market price increases and general inflation due to tariff risk having a dampening effect on consumer demand. Consequently, we maintained our outlook of neutral to negative market demand for North America. In Latin America, consumer demand in the main market is estimated to have increased slightly in the quarter. Growth rates in Brazil were lower due to inflationary pressure and higher interest rates. Growth in Latin America slowed as expected. And for full year, we reiterate our outlook of neutral market demand for core appliances. Moving to Electrolux business outlook. Electrolux Group has a predominantly North American manufacturing footprint for sales in the region. With the current tariff structure, we're in a favorable competitive position and continue to implement price increases with the ambition to offset the impact for higher cost due to U.S. tariff. We reiterate that we expect organic contribution to EBIT from volume, price and mix combined for the group in the full year 2025 to be positive, driven by positive price to compensate for tariff and currency-related cost increases. The cost inflation related to increased tariff is included in external factors in our EBIT bridge. On back of the currency imposed tariff, we stick with our outlook of significantly negative contribution to or earning from external factors. It is important to note, however, that we are confident of offsetting tariff-related costs with increased prices. Currency remains a headwind and the impact from raw material cost is expected to be relatively neutral. Growth and good capacity utilization of our factories is key for our long-term profitability. New product launches provides us with a great platform to continue driving growth in our focus categories. We're getting good traction from the increased marketing spend and will, as we have said earlier, increased investment in innovation and marketing in full year 2025. Our focus on cost reduction is high, product cost in particular, but we need to focus on all cost items. We have had a good traction on cost reduction during the first half of the year, and we stick to our outlook of SEK 3.5 billion to SEK 4 billion in earnings contribution from cost efficiency in the full year 2025. Investments to strengthen our competitiveness through innovation, automation and manufacturing efficiency are essential to support growth and improving efficiency. Total capital expenditures for the full year 2025 are estimated to be between SEK 4 billion and SEK 5 billion. I just would like to conclude on the 5 pillars I have been mentioning through the last 2 quarters and just give you an update on how we have been performing versus these 5 pillars. The first one was improved North America, the first priority we have. I have -- I'm glad to say that, I mean, in the second quarter, we have been outperforming the market here with an organic growth of 4.1%, and we are delivering for quite some time, positive operating income in the second quarter. The second pillar is profitable growth. As I mentioned earlier, we have been losing in the past years too much substance, especially in a market, which is depressed and subdued in terms of volume. We had a slight organic growth in a very challenging market, truly impacted by the geopolitical environment we're in. We have been improving our market position in North America and in Europe in terms of market share. Strengthening our market position here. We did not save on marketing spending. We truly believe we need to fuel growth through basically the new marketing launches and the new product launches we do have in the different regions. We keep on innovating. We keep on innovating in a consumer-relevant manner here and with pizza launch we have in North America is probably a good illustration. Cost reduction and increased efficiency, positive effect again in the second quarter here. We have been delivering up to SEK 2 billion in the first half of 2025, and we are committed to deliver SEK 3.5 billion to SEK 4 billion through improved efficiency, mainly in the North American market, but across all the markets. Our transformation, critical for Electrolux. And again, I have been mentioning that it would be -- the best combination will be the 120 years of legacy we do have as Electrolux, the knowledge we do have with customers with the speed and agility we need to gain moving forward in a very volatile market. So we will be increasing our focus on this transformation. We'll be accelerating this transformation to deliver even better results moving forward. That's concluding my presentation.
Ann-Sofi Jönsson: So now we will move over to the Q&A session.
Ann-Sofi Jönsson: And we start with opening up for those of you who are on the conference call, so I would ask Embelin to take over and open up.
Operator: [Operator Instructions] We will now take our first question from the line of Gustav Hagéus from SEB.
Gustav Hagéus: I have a question on pricing in U.S. versus competition in Europe. You seem to experience a bit more competition and tougher markets in Europe, if I understand your comments correctly, given that we're quite far down in the cycle. It would be interesting to hear what you think the reasons are for Europe and the competition and if there's a link here between perhaps pricing power in U.S. strengthening a bit and competition being a little bit less fierce there and maybe some more competition in Europe, if you see a redirection sort of competition from U.S. into Europe from Asia?
Yannick Fierling: Yes. Thanks a lot for your question. I don't believe, in all fairness, that the competitive landscape is extremely different between Europe and North America. I think we find a lot of the same players across both regions. I think what we have been noticing is a very different reactions in all fairness at the end of the first quarter versus the geopolitical uncertainty and volatility we saw in the market. I mean in Europe, consumer confidence has been going down exactly like in North America. But what we have been seeing is that, I mean, the level of promotion we had in Europe was even more intense than what we have been observing in North America. Moreover, I mean, rather than going and buying appliances, I mean, the European consumer has been saving actually quite a lot of money. So the reaction was pretty different. We are pretty impressed by the resilience we see in the North American market on the other hand, because with the level of inflation we're observing, one could expect a higher impact on the demand side of the equation. So the minus 1% was rather, I mean, a positive view on our side of the equation. I think the strategy we have been exposing, I mean, at the end of the first quarter was pretty straightforward. We truly believe that we do have indeed an advantage by producing most of our appliances in North America on the North American ground. And we have basically very good launches and innovation hitting the floor -- the shop floors in North America. That's why we were well-positioned to increase prices in North America at the beginning of the second quarter in order to fully compensate for the tariff shift. Unfortunately, I mean, competitors are not always rational in all fairness in following us. We had a couple of competitors who have been following us in terms of price increase. But definitely, I mean, our strategy has been paying back and delivering on expectation AI, it has been fully compensating for the tariff impact we have been observing in the second quarter. Now very logically, because, I mean, we have been selling some of the stock in the second quarter, the tariff impact will be even more important in value in the third and fourth quarter here. But I mean, we are very much ready to apply exactly the same recipe here and increase further prices moving forward in order to make sure that, I mean, we will be compensating for -- again for tariff. The big question mark is, obviously, I mean, how the market demand would be reacting. But the latest tariff structure has been, relatively speaking, putting North American producer in a better position by taxing more production out of Southeast Asia. So I think we are pretty confident that we are in a good position again to execute further strategy we put in place in the second quarter.
Gustav Hagéus: And a follow-up on that in the U.S., as you say, there are probably some inventories and other items impacting now short term. But have you seen a gradual improvement in the pricing environment in the U.S. and promotional activity in U.S. throughout the quarter 2? Do you expect the pricing environment for local producers like yourself in U.S. to be gradually improving also in the second half? Or were you already there in terms of the full impact, you think, versus nondomestic competitors in Q2?
Yannick Fierling: Yes, great question. In all fairness, I mean, we have been, of course, observing the promotional intensity during the fourth quarter -- the 4th of July week. And it has been basically be at the level we were expecting, not more aggressive than what we have been expecting. And we see some gradual movements as well now post 4th of July. Of course, I mean, some of the new tariff structure will be implemented on August 1. So we're expecting to see more rationality, I would say, in this market, I mean, in the coming weeks.
Operator: Our next question comes from the line of Johan Eliason from Kepler Cheuvreux.
Johan Eliason: This is Johan at Kepler Cheuvreux. Just a question on your cost cutting. I thought it was a little bit lower in this quarter than I expected. And considering that you had a lot of the cost-cutting benefits last year, in the second half of the year, I sort of assume that the run rate would be quite high in the first half of this year. Is this just sort of comps? Or are there specific actions that seems to be driving more of the cost-cutting impacts in the second half of this year rather?
Yannick Fierling: Yes, thanks for the question. Outstanding question. I think we should not be forgetting that we are reporting a year-over-year improvement. And I think the second half of the year was very strong in 2024, we had as well. I mean we were ramping up in the second quarter. That's probably why you see an improvement versus last year in the second quarter, which is relatively speaking, again, not as important as what you have seen in the first quarter. However, I mean, we are gathering in the first half an amount of money, which is SEK 2 billion, which is basically more than half of what we are -- what our target is by year-end. What I can tell you is, again, we will see year-over-year improvement certainly in Q3, Q4. We are not slowing down at all in all the activities we are carrying forward in terms of better cost for our products, better sourcing for our products here. And I think we can expect basically the same level of focus, attention and deliveries in the coming quarters as well. But let's not forget, it's a year-over-year improvement we are reporting.
Johan Eliason: Good. And then on the cost subject as well, your marketing obviously a bit better than I had in my numbers now in Q2, but you are guiding for increased marketing costs overall. Should we expect the second half to be on the same sort of level as the first half? Or will this pizza launch in the U.S. bring up marketing costs in the second half to be significantly higher than what you've seen in the first half?
Yannick Fierling: Yes. I think, in all fairness, I hope you would agree with me, we may have been a little bit too shy in the last year on the marketing side of the equation. We have been investing massively on the operational side of the equation. I mean, enhancing our factories in all the 3 regions. Now we have a product out of these beautiful factories. Now we need to market them, and we need to communicate around the features. And I think that's only -- I mean, I'm always used to say that it's refueling the growth here. And you probably saw the new tone of our marketing campaign here with the SaphirMatt induction hob that we have been showing previously here, which is this anti-scratch, anti-fingerprint, a very resistant type of hob. So it's a new tone we're giving. It's extremely important to communicate about the advantages and the innovation we do have when we're bringing to the market, which again are consumer-relevant innovations. But the pizza feature would be one where we would be cooking actually pizza outside of the stores for people and our customers to taste this pizza. That's the way I think we should be communicating and marketing the new innovations we do have here, which are rich innovation. We should be able to take full advantage of them.
Therese Friberg: Maybe to add one thing, Johan. So if we expect it to be significantly higher in the second half, I guess we don't say that because, of course, in tough market conditions, which we also have in some parts of the world, of course, we will be, yes, looking at the external environment. I completely agree with Yannick that I mean, this new innovation in North America, it's really a unique opportunity that we definitely don't want to waste. And just as an anecdote, when we launched the air fry in the oven a few years ago, we can say that when we turned on the marketing campaign, actually the web page with our largest retailer that we co-partnered with crashed at that moment. So we also see what a type of reception we can really get from turning on the marketing campaign, and we will not lose that opportunity.
Yannick Fierling: Thanks, Therese. And Johan, just to be very clear, we are always looking at what is the return on investment on any investment we're making on marketing. So that's something we're certainly closely watching and we'll keep on watching.
Johan Eliason: Excellent. And just finally, in Europe, Zanussi are closing down that brand. How much did it impact in terms of revenue growth in the first half? And how will that pan out in the second half?
Yannick Fierling: Yes. I think Europe has been an extremely tough market in the second quarter. We have seen very aggressive price levels in Europe. Again, it was -- we were very glad to see that, I mean, AEG and Electrolux were very well resisting, gaining value market share across the region here; however, competition is fierce. I mean, we saw some improvement throughout the quarter in all fairness. So we hope that, I mean, this trend will be moving forward, but it is a market, which is extremely sensitive to the external environment. And we may need to expect some additional bumps moving forward. But I mean, we're well prepared. And I mean, we need to really fight on the market with all the ammunitions we do have in order to keep on winning there.
Therese Friberg: And at this point in time, we are essentially now through the phaseout of Zanussi. So there might be still some, of course, volume out in trade that needs to be sold through. So we still have a, let's say, tiny, tiny market share if you look at the external data. But from our own sales, we are pretty much through the phaseout.
Operator: Our next question comes from Fredrik Ivarsson from ABG.
Fredrik Ivarsson: Maybe first, coming back to the pricing in the U.S. I mean, you were, I guess, quite quick on reacting to the tariffs. Have you sort of revised any of these price hikes due to the, say, recent developments?
Yannick Fierling: Yes, absolutely, Fredrik. Thanks for mentioning it because I said it, it was not a butter-spreading type of price increase we made in the U.S. We had platforms, which were more impacted than others from tariffs, and we have been adapting our price list based basically on the impact we were expecting. We had the Memorial Day as well in terms of promotions. And in all fairness, we had to adapt some of our prices in order to keep on competing with the aggressiveness we saw around us. And as I said, many competitors did not increase prices. So I have to recognize that the North American team was extremely agile and fast in reacting to market conditions, which have been allowing us to keep both the organic growth we are reporting today, which is this 4.1% and keep a price level. Now I think there will be the new structure, tariff structure will be fully implemented on August 1. And again, we'll be taxing more appliances, which are produced today in Southeast Asia and who were benefiting from very low manufacturing prices and commodity prices out of China. So that's a positive news certainly for North American builders here, and we should see an advantage here. But I want to repeat it, I will never repeat it enough. Our commitment as Electrolux is to fully compensate tariff by price increase in the market moving forward.
Fredrik Ivarsson: Okay. Great. And then second, and sorry if you talked about this also already, I fell out of the call a minute. But I wonder if you can talk about what you see in the European market in terms of volumes coming in from Asia. Have you seen an increase in Q2 due to the tariffs or not?
Yannick Fierling: What we see certainly is a competitive environment, which is getting more aggressive in Europe. And certainly, I mean, despite interest rate has been going down, I mean, the purchasing power in Europe is pretty low. So we have seen a movement more towards, I mean, low price points here, low price points, which can be fed in a very easy manner by Asian competitors in the sense that, I mean, production in Asia is, as I explained previously, significantly cheaper than what we can produce currently in Europe and in North America. And that's exactly why I think the decision to leave entry price points, I mean, a couple of years ago on Electrolux was the right decision. I truly believe that with the level of innovation we do have, with the quality of the products we do have, I mean, we're much better placed to feed basically core and premium ranges in Europe. And that's what we're doing. And again, we are gaining more market share through the Electrolux and AEG brand than we're losing by phasing out Zanussi. So absolutely right decision. But to your point, yes, indeed, pressure is increasing, seems to increase in Europe out of, I mean, low price level type of products.
Operator: Our next question comes from Björn Enarson from Danske Bank.
Björn Enarson: Yes. Any comments on FX headwinds in the second half? And also, if not, maybe a combination of FX headwinds and raw material for the second half combined, if that's possible. Is there something we should be a little bit more worried about versus the first half?
Therese Friberg: In my point of view, not more worried. I mean we have had, as you've seen, significant headwinds in the first half on currency, specifically on Latin America. I think the team is doing a good job to offset it in price increases. But we have really seen that currency headwind being very strong from the beginning of the year. And yes, we do see that, that environment is continuing, but I would say not currently worsening. And when it comes to the raw material, the main part of the raw material, we have locked for the year. So not large movements in the second half as we see it.
Björn Enarson: And a question on marketing spend again. Should we think about this as a very near-term negative impact on EBIT? Or do you get the leverage on the spend quite quickly? Or how should we look upon that now looking into the second half?
Yannick Fierling: I just want to repeat the message because they're very important. First of all, we are not spending for marketing if we don't have a return on investment. So I think we are really scrutinizing the return we do have on investment. However, indeed, I mean, we have major innovations hitting the market, I mean, in the coming weeks and in the last quarter. And we truly believe that it's worth for the company and for the group to invest in marketing right now in order to fuel the launch of these new innovations and new products.
Therese Friberg: Yes. So there might, of course, be a timing impact between when you spend marketing a little bit upfront before you get the return. So you don't always get the return in the same quarter, that is natural.
Björn Enarson: But are we talking weeks, months or quarters?
Therese Friberg: It really depends on what type of marketing.
Yannick Fierling: Yes. But I mean we usually -- I mean, we -- I mean, we're not looking at quarters. And I think, again, we are not looking at major fluctuations. We really want to fuel these innovations. So I think we truly believe that, I mean, when you are with 4,000 -- we have 4,000 shop floors on this new innovation on the pizza side of the equation, it is basically available since last Monday with one of our main customers. We really are looking forward to see basically sales picking up, thanks to the fuel -- the marketing fuel we're injecting.
Björn Enarson: Perfect. And could you say anything about -- I mean, I heard what you have said about the market conditions in the different regions. But if you can talk a little bit about the seasonality. I mean, normally, we have, yes, of course, a little bit of a stronger market for seasonal reasons in the second half. Is that something we should also consider this year? Or are the weak situation in primarily Europe offsetting that? Or are there any comments on that?
Yannick Fierling: No, thanks for the question. I would just reiterate what I said previously here, a normal seasonality for us is to have a progression throughout the year in terms of sales and in terms of earning. Unfortunately, I mean, we have several factors, which are abnormal today. And that's what is a little bit concerning us. The first abnormality is, I mean, the reaction on the tariff side of the equation. We're very confident on the strategy we are putting in place. But I mean, the unknown is how resilient the market would be moving forward. It has been very resilient in the first half. But certainly, I mean, we need to watch out on how this additional level of inflation will be absorbed by the North American market. In Europe, as I said, Europe is extremely sensitive to external factors. We have seen that in the second quarter. So if these external factors will be normal, I want to say just normal for Europe again without major concern on the geopolitical side of the equation, there is no reason why we should not see basically a normal type of seasonality. Now I think it is a bumpy road. It is a very volatile and uncertain market, as you know, overall.
Ann-Sofi Jönsson: Thank you, Björn. So we will now take some questions from the web. But we will come back to the conference call for more questions from those of you who are on the call. So we have a question from Daniel at RBC. And the question is, in the first half year, you had a working capital outflow of more than SEK 6 billion. How much of this do you expect to reverse by the end of the year?
Therese Friberg: Yes. Without going into exact numbers, we mentioned a couple of the items that are a bit extraordinary in the quarter, of course, and also then extraordinary year-to-date because these effects will remain. Just one side comment. If we would have excluded these 2 extraordinary effects, the cash flow for the quarter would have been slightly positive, just to give a magnitude on that. Then, of course, we are still having some of the restructuring payments that we are still doing mainly related then to what we executed last year, but still some of the cash outflow has been going out this year. And that, of course, will not be reversed. Otherwise, when it comes to inventory, of course, this is our main focus. I think we have built inventory, as mentioned before, both related to seasonal. And this, of course, we will sell out during the second half as we always do when we come into the high season. On top of that as well, it's fair to say that the market environment and market conditions has been, again, extremely volatile in the second quarter and weaker than what we planned for in the beginning of the year when we did the production planning and the purchases and all of that. It's nothing new, I would say. I think we have been living a tough and volatile market environment many, many quarters during these last years. So I feel confident that we will be able to take out a large part of the inventory with, of course, not panicking, not doing any strange sellouts or anything like that because the inventory is still fresh and of good quality, and we have the right products in stock. So we will take it down gradually over time as we have done many times before.
Ann-Sofi Jönsson: Great. Thank you. We also have a question from Handelsbanken, Stefan Stjernholm. And the question is, if there are any -- if we see any early signs of recovery of the new build segment on any markets?
Yannick Fierling: Thanks, Stefan, for your question. Unfortunately, I would say no. We -- despite the low interest rates we have in Europe, and we're all hoping that basically construction will be going down. But I mean, when we see construction overall, I mean, we have one number. I mean the -- basically, the improvement is lower than 1%. So I think it is very much subdued right now. And it is hurting certainly our margins in the sense that, I mean, we have a very strong foothold in kitchen and in construction. So I think we are really hoping that, I mean, there will be a turnaround at some point of time with a lower interest rate here. We're absolutely ready to take full benefit of it, I mean, as a company.
Ann-Sofi Jönsson: Great. So now we turn over to the conference call again.
Operator: We will now take our next question from the line of Jeremy Caspar from JPMorgan.
Jeremy Caspar: I've got one on your outlook in Latin America. In your release today, you mentioned some softness in Brazil on inflation and interest rates. And I'm just wondering if in your market outlook, you do expect any improvement in market conditions in H2 compared to what we saw in the second quarter? Any color on what you're seeing in the region would be very helpful.
Yannick Fierling: I think a few things on Latin America, and I have been saying it, and I think it's important to repeat it, 2024 was an exceptional year because of the heat wave. And that's exactly why we have been guiding neutral in terms of market. I mean, 2024 was very strong. There was a devaluation of the real at the end of 2024 as well, the price increase we had beginning of the year, I mean, the higher interest rate in the second quarter. And as a consequence of the higher interest rate, our main customers reducing pretty significantly the level of stock they do have over there. So what we believe in Latin America is that, I mean, we have been reaching a low level in terms of stock by our customers and the sell-in should be restarting, I would say, at a normal pace moving forward in Q3. So we don't -- I think, Latin America is reacting as we are expecting in all fairness here. And we just believe that, I mean, it will be -- 2025 will be as strong as 2024 was. I mean -- and we just need to go through the inflation and interest rate increase we have been impacted with in the last month. But again, we took actions, and I think the actions are basically bringing the results we're expecting.
Operator: [Operator Instructions] next is a follow-up question from the line of Gustav Hagéus from SEB.
Gustav Hagéus: I just wanted to clarify, I didn't fully get it. Did you -- if you saw any sequential easing of the price pressure in Europe into July or end of Q2 versus beginning of the year?
Yannick Fierling: Very difficult to say at this point of time. What I said earlier on is that, I mean, we saw a very strong reaction from the geopolitical environment in Europe here, and we see some -- we saw some improvement throughout the quarter here. So I think we saw some improvement, especially towards the end of the quarter here. So I think we -- right now, we hope that, I mean, really this positive move will be holding in July and August and in the third quarter. But it's very early to really, I mean, say anything about the market condition in the third quarter in Europe.
Therese Friberg: And the comment Gustav was on -- related to volume, market volume, not related to price.
Gustav Hagéus: Okay. So -- and how about pricing? Do you see any of that impact also is that isolated to volume?
Yannick Fierling: Yes. Pricing, again, there is -- the market is entirely replacement driven today, I mean, with very high promotional pressure and a tough competitive landscape. So the good news is that, I mean, on the Electrolux and AEG side of the equation, we're holding our price index, which is a very good news. And we're growing market share on the value side of the equation. So that's pretty good. That's exactly where we want to be. We don't want to fight where only cost is the purchase driver. But I mean, indeed, I mean, we see more price pressure in the European market lately.
Operator: Our next question comes from the line of James Moore from Rothschild & Company Redburn.
James Moore: Great share gains and some savings momentum. But could I ask a couple of questions on tariffs, please? I'll go one at a time if that helps. You mentioned, Therese, on the cash flow, the negative tariff impact in the U.S. as you're paying earlier than collecting in prices. Is that to say that the negative tariff cost is not on the P&L? So just to be clear, would the North America margin be less than the 0.5% if the full tariff cost was on the P&L? And if so, by how much? I just want to be clear about that.
Therese Friberg: Yes, I think, Yannick also mentioned it, right, that, I mean, we do see relevant tariff impact on EBIT in our result, which we have been able to offset through price increases that we were proactive and did in the beginning of the quarter. Having said that, you are right that part of the tariff impact that we've had is right now in our stock and has not been sold out yet to trade. That's why we have a higher impact in terms of tariffs in cash flow. So that's also why the sequential increase that we will see in the third quarter compared to the second quarter with the current tariff structure then in place will be higher on the bottom line, which means that there are needed additional price increases coming through to the bottom line to offset the higher level we are expecting in the third quarter.
Yannick Fierling: Thanks, Therese. And again, I mean, we are fully committed to keep on increasing prices in order to fully compensate tariff. I want to repeat that once again.
Therese Friberg: And just one last comment. I think you also mentioned it, Yannick, that, of course, we were proactive increasing prices, but then we also had to meet competition in some of the promotional periods. And this, of course, we really hope now, with some better discipline, will also ease over time.
James Moore: That's great. And I understand, secondly, that you're in a favorable position on the tariffs with over half of your appliances coming from China, Korea, Vietnam, Thailand. But -- and I understand you aim to mitigate. But if others are not moving, then it will be harder. Could you say how many of the U.S. big 5 have moved and how many haven't? And what is this 1st of August date? Because I thought Section 232 was already in place for copper. I guess you're talking about reciprocals, but isn't the key issue still around aluminum?
Yannick Fierling: Yes, absolutely. You're right. I mean just I will respond on the tariff side of the equation. For Thailand and Vietnam and Southeast Asia, it will be basically implementable 1st of August and valid 1st of August. That's the first point here. On the tariff side of the equation, you're absolutely right. I mean we saw beginning of the second quarter, only a couple of our competitors moving and following us in terms of price increase. Now I think the latest tariff structure is addressing one of the main issue or anomaly we had in the past, which was Southeast Asia. Because Southeast Asia was only taxed at a level of 10%, but they were sourcing the entire commodity and components out of China. So I think with 10% only, I mean, of course, I mean, that was still -- they were still basically producing as a cheaper cost or landing as a cheaper cost than what we were producing in North America. Now with the latest tariff structure here, it is leveling the playground. It is leveling the playground for -- I mean, starting August 1, and we can expect basically more competitors to follow us in terms of price increase if there is a rational in that, and I believe there is a rational in that.
James Moore: Great. Just to clarify. I'm a big stupid here. Maybe you can just help me. I thought that the change that we saw in July or June was that we shifted from a 25% steel and aluminum to 50% that was not either or...
Yannick Fierling: Absolutely. No, you have different ways. I mean the 50% on aluminum and steel is implemented today. That's one part, which is implemented today. But I mean, the tariff on Southeast Asia is basically on August 1. Would be confirmed on August 1.
James Moore: And could you remind us what it goes from -- to from 10%?
Yannick Fierling: Sorry, I didn't get.
Therese Friberg: From what level...
Yannick Fierling: It was from 10% to 36% in Thailand and from 10% to 25% in Korea, just to give you a couple, plus the 50% on steel and aluminum.
Operator: I am showing no further questions. I'll now turn back to the speakers in the room. Please continue.
Ann-Sofi Jönsson: Thank you very much.
A - Yannick Fierling: Well, thank you very much for your attention and the questions once again. And I think all what we can wish you is a great summer. So thank you very much.
Ann-Sofi Jönsson: Thank you. And we look forward to see you again in October when we present our third quarter results. And we will also have a capital market update on the 4th of December. Okay. Great. Thank you.
Yannick Fierling: Thank you.
Therese Friberg: Thank you.